Operator: Good morning ladies and gentlemen, thank you for standing by, and welcome to the Photronics fourth quarter fiscal year 2019 earnings conference call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question and answer session. To ask a question during the session, you will need to press star, one on your telephone. If you require any further assistance, please press star, zero. As a reminder, this conference is being recorded Wednesday, December 11, 2019. I would now like to turn the conference over to Troy Dewar, Vice President of Investor Relations. Please go ahead, sir.
Troy Dewar: Thank you Joelle. Good morning everyone. Welcome to our review of Photronics’ 2019 fourth quarter financial results. Joining me this morning are Dr. Peter Kirlin, Chief Executive Officer, John Jordan, Senior Vice President and Chief Financial Officer, and Dr. Christopher Progler, Vice President, Chief Technology Officer and Strategic Planning.  The press release we issued earlier this morning along with the presentation material which accompanies our remarks are available on the Investor Relations section of our webpage. Comments made by any participants on today’s call may include forward-looking statements that include such words as anticipate, believe, estimate, expect, forecast, in our view. These forward-looking statements are based upon a number of risks, uncertainties and other factors that are difficult to predict. Actual results may differ materially from those expressed or implied and we assume no obligation to update any forward-looking information.  At this time, I will turn the call over to Peter.
Peter Kirlin: Thank you Troy, and good morning everyone. We ended 2019 with momentum, achieving record quarterly and annual revenue due to strong design activity across the majority of our customer base, increased capacity as we ramp production in two new manufacturing facilities, and outstanding work by our entire organization to win new business and expand share.  In addition to record total revenue, we raised the bar with record quarterly revenue for IC and HFD photomasks, while annual FPD revenues also reached a new high. It was a superb quarter capping off a great year, and I’m very pleased with our performance.  With growing revenue and high operating leverage, profit margins expanded. Combined with consistent efforts to control costs, we delivered 13.7% operating margins, better than last quarter and last year despite a larger operating footprint and growing headcount. For the year, operating margins were 9.5%, a remarkable achievement given the challenges we faced, including headwinds from start-up expenses, the semiconductor and LCD industry downturn, and growing geopolitical uncertainty. These outstanding operating results generated EPS of $0.15 per share for the quarter, which is in line with our expectations and included significant foreign exchange loss below the operating line. In addition to record revenue and solid earnings, we maintained a strong cash balance, ending the quarter with $154 million in net cash. Cash generated from operations more than offset our strategic uses of cash during the quarter, including share repurchases. With the bulk of our China investment now behind us and growing confidence in our long term ability to generate cash, we have restarted our share repurchase activity. We see this as an effective use of cash to invest in what we believe to be an undervalued asset while also reducing number of shares of outstanding. We spent approximately $11 million for shares in the last two months of the fourth quarter since announcing our new $100 million share repurchase program at the end of August. We anticipate our purchases will continue for the foreseeable future given the value we see in this activity.  The fourth quarter was a great end to a superb year. For the ninth consecutive quarter, we achieved year-over-year revenue growth, and for the second successive year we attained record revenue. Our balance sheet remains strong following two years of major investment and we are well on the way to meet the financial targets we established nearly two years ago. I am very proud of what we have been able to accomplish and remain confident in our long term strategy.  As I meet with investors, the top two questions I have received relate to China. These come in one of two forms: the current outlook for our business in China, and how the U.S.-China trade discussions are impacting our business. I would like to address each of these, starting with the latter. The trust and philosophy in management is to focus on things you can control. When it comes to the current geopolitical environment, there is much that we cannot control that could easily become a distraction. As we see it, our challenge is to focus on our customers while effectively managing our operations in a dynamic, uncertain environment.  During our third quarter conference call, we stated that uncertainty created by actions taken by the U.S. administration have begun to have a negative impact on some of our Chinese customer demand, however the impact was concentrated and relatively small. In the fourth quarter, the impact flipped to become positive and more pervasive. As trade discussions have gone unresolved and certain high profile companies in China have been placed on restricted trade lists, the resulting uncertainty has motivated Chinese companies to seek global solutions for their semiconductor needs as they try to become more independent and self sufficient. Net-net, in our view the Made in China 2025 initiative has been irreversibly accelerated. One outcome of this is a growing need for photomasks. With a manufacturing facility in China supported by our global manufacturing footprint, we were able to quickly respond to these needs to enable our Chinese customers’ success. In fact, our IC capacity in Taiwan and Korea was sold out in Q4 as a result of satisfying this sudden uptick in China demand, and PDMC set a new revenue record in Q4. We are now exactly where we want to be, ramping the Xiamen factory into an oversold Asia IC manufacturing network.  Looking forward, even if a trade deal is finalized, we believe this trend will continue as many Chinese technology companies are concerned about future restrictions and want to avoid any potential impact from trade wars.  Turning to the outlook for our business, it is very clear that China has become a mature region for us. Just over three years ago, we announced the first of two greenfield investments to build state-of-the-art manufacturing sites. Today, both of these facilities are complete and we are in the process of ramping them to full production. The FPD facility in Hefei began production at the end of the second quarter and has ramped quickly due to strong end market demand and relatively short qualification times. The IC facility in Xiamen, which is part of a JV with DNP, began qualifications in the third quarter and as a result of a nine to 12-month qualification times [indiscernible] the FPD ramp by approximately four quarters. During our fourth quarter, we generated $11 million in revenue from masks produced in China, nearly all FPD.  In parallel with expanding our manufacturing operations into China, we have also intensely focused on building a strong book of business there. Revenues to China were a record in the fourth quarter and represented 33% of our total revenue. Not only did we set a new record in the quarter but our total was an outstanding 49% better than the previous high water mark that was established just one quarter ago. For the year, revenue on product shipped to China was 27% of our total revenue. To put that in perspective, when we announced our Xiamen investment in 2016, China represented about 5% of our total revenue.  In just three years, we have increased our China revenue five-fold. Over that time, we have entered into long term purchase agreements with four customers in China, two IC and two FPD. As you would expect, they are well represented in our China revenue, corresponding to just under 60% of the total. However, we also have numerous other customers that make up the other 40%. This means our business is diverse and not overly reliant on any one customer or product, which makes our revenue stream healthier and more sustainable. Even now, we are engaged with other customers on discussions for long term agreements which will further enhance the quality of our China business. As had been the case for most of last year, FPD demand was very strong for us in all regions, particularly China. FPD revenue this quarter was $43.7 million, which corresponds to an annual run rate of $175 million. Sixty-one percent of this was for customers in China. When we presented our long term outlook in early 2018, we indicated our FPD revenues would double to about $200 million annually, which included Hefei production plus growth at other facilities. Since then, capacity additions in the LCD market have outpaced growth in demand, resulting in a market downturn. As a result, the near term outlook for G10.5+ production has softened, as has the associated photomask demand.  Conversely, AMOLED demand has strengthened more rapidly than we expected two years ago. In addition to a vibrant Korean business, we are now shipping to more than half a dozen Chinese AMOLED display manufacturers whose customers are focused on penetrating the global market for premium smartphones, the most advanced of which incorporate foldable displays. Recently, DOE announced a significant increase in plants for production of flexible AMOLED panels in 2020.  Dynamic markets create opportunities and our AMOLED outlook is now much stronger than we projected in 2018. With the balance of these puts and takes, we see China being a very attractive region for FPD investment well into the future. Earlier this year, we ordered two Prexision Lite 8 mask writers from Mycronic. These will be important assets as we optimize our existing operations, allowing us to expand capacity for mainstream masks which are used for certain layers and mask sets for five high-end applications such as AMOLED and large screen OLED TVs that are manufactured on G8 or smaller panels. Samsung, our largest FDP customer, recently reported plans to expand their QED OLED capacity. These new tools, by optimizing the balance of throughput and resolution, effectively map our global factory into the sweet spot of this expanded range of applications.  With the success of our business in China, we expect to operate Hefei at full capacity for the remainder of the quarter. When we designed our Hefei clean room, we included the option for future expansion within the building’s footprint to allow us to grow without the need to add bricks and mortar. The display market in China is very strong and we have established ourselves as the domestic market technology leader. We are therefore considering accelerating our phase 2 investment to extend this leadership position and realize additional financial benefits more quickly, enhancing our return on investment. 2019 was a great year for Photronics. We made significant strides towards meeting our long term targets. Revenue is running at record levels across the organization. Production is ramping at two new manufacturing facilities. As utilization levels rise, we anticipate growing earnings more quickly than revenue. We have a clear line of sight to additional organic growth. Our balance sheet is strong and can support investments for profitable growth. We are very optimistic. At this time, I will turn the call over to John to provide commentary on our performance and outlook.
John Jordan : Thank you Peter. Good morning everyone. We saw strength across nearly all of our end markets in the fourth quarter, resulting in record quarterly revenue of $156.3 million, 13% better than the previous quarter and 8% better than the fourth quarter of last year. Sectors that have been strong remain strong and other sectors strengthened during the quarter. Our new manufacturing facilities in China contributed $11.2 million in revenue, further fueling growth. It was a great quarter and demonstrates the benefit of our broad and deep product line-up and global footprint. IC revenue was a record in the fourth quarter, up 12% sequentially and 1% year-over-year. Demand growth was broad-based with increased in logic and memory and across technology nodes, encompassing high end and mainstream. From a regional standpoint, China and Taiwan were notable areas of strength. While revenue of IC products shipped into China grew significantly, up 72% from the previous quarter, the predominance of these masks were produced outside of China. As we have reported previously, qualification for IC products takes nine to 12 months, so production from our new Xiamen facility will be increasing over the next few quarters, providing another leg of growth as those qualifications are completed. Underlying IC market demand is expected to be stable to improving, influenced somewhat by normal seasonality.  FPD revenue was also a record 15% higher than the previous record established last quarter. The drivers remain the same - strong demand from OLED displays and increased production from our Hefei facility. We do not anticipate any weakening of these trends, so we expect the growth at Hefei to continue as production ramps.  Gross margin improved sequentially, the impact from operating leverage expanded margins to 24.4%. Operating margin also improved to 13.7%, the effect of increased revenue and lower operating expenses. The headwind from China operations was $4.1 million and our Hefei operation was close to breakeven in Q4. Total year operating expense margin excluding China expenses was essentially flat year-on-year. Other expense was $6.1 million, almost entirely due to unrealized foreign exchange loss, primarily in China and Korea. Minority interest was essentially flat compared with the third quarter. Earnings from our Taiwan JV were partially offset by losses from the China JV. This resulted in net income attributable to Photronics Inc. shareholders of $9.7 million or $0.15 per diluted share. Cash generated by operations was quite strong at $48 million for the quarter. We also received $5 million in government incentives from China. We spent $17 million for capex in the quarter and paid $19 million in dividends to our Taiwan JV partner. We also repurchased nearly 1 million shares of our common stock in the quarter for $11 million. For the fiscal year 2019, we repurchased 2.1 million shares for a total of $22 million. Since inception of our share repurchase program in July 2018, we have spent $45 million to repurchase 4.7 million shares. The share repurchases combined with the redemption of our convertible debt over the last few years have reduced our reported diluted shares by 15% from the peak in 2015, creating additional value for our shareholders.  Capex for the full year 2019 was $177 million, slightly less than our estimate of $185 million. We expect that difference, together with the approximately $25 million deferral we mentioned during our third quarter conference call to be spent in early 2020. For the fiscal year 2020, we expect total capex to be approximately $100 million, which includes the 2019 carryover. Before I provide first quarter guidance, I will remind you that our visibility is always limited as our backlog is typically only one to two weeks and demand for some of our products is inherently uneven and difficult to predict. Additionally, the ASPs for high-end mask sets are high and as this segment of the business grows, a relatively low number of high end orders can have a significant impact on our quarterly revenue and earnings. Lastly, I’ll caution that any developments from the ongoing trade discussions between the U.S. and China or from tensions between Korea and Japan could potentially have an adverse impact on our industry and therefore our results. Given those caveats, we expect first quarter revenue to be in the range of $146 million to $154 million. The first fiscal quarter is typically a seasonally slower quarter for Photronics, but we assume that our IC markets will be stable to improving and the strength in mobile displays will continue to fuel the FPD business. We also anticipate increasing contribution from our new China facilities. Based on this revenue expectation and our current operating model, we estimate earnings for the first quarter to be in the range of $0.13 to $0.18 per diluted share.  At the beginning of 2019, we spoke of a cautious optimism as market conditions appears challenging and we needed to complete and equip our new China facilities, but we were encouraged by our financial strength and market position. At the end of the year, looking into 2020, we believe we have performed well and are in a great position. We are financially strong and our market position is better than ever. We are optimistic and look forward to even greater accomplishments next year. I will now turn the call over to the Operator for your questions.
Operator: [Operator instructions] Our first question comes from the line of Patrick Ho with Stifel. Your line is now open.
Brian Chin: Hi, good morning. It’s Brian Chin on for Patrick. Thanks so much for taking our questions, and congratulations on the results. Maybe first question here, Peter, maybe to go back and just clarify something in addition. The $100 million capex for fiscal ’20, which includes the carryover, does that include that potential acceleration you referenced in terms of the phase 2 capacity install on Hefei? Also, would that phase 2 effectively double your output from that facility, and from a timing standpoint, how quickly can you install and ramp that capacity?
Peter Kirlin: Okay, so the $100 million is--the approximate $100 million has a $33 million carryover and, in addition to that, what we would describe as maintenance capex. At our current run rate, that number is--current run rate $625 million, 10% of 625 is $62.5 million, add 33, you get approximately 100, so there is no capex for the next wave in Hefei in that number. The magnitude of the capex will dictate the amount of revenue uplift that we can achieve, so we have not definitively made up our minds exactly how much to invest and when. But our global factories sold out, we have no more capacity, we’re turning business away from multiple customers. We’re the market leader in AMOLED displays, so the demand there is tremendous. There’s no doubt if we invest, we can fill the tools, I think no doubt, so we’re talking to customers, we’re talking to the local government, and we’re trying to arrive at a business plan for the next wave that has the acceptable financial returns that we’re looking for. That’s not done yet, that’s a work in progress. Hopefully we’ll have a lot more to stay about that on the next call, but we’re getting close. Timing of it is more difficult because the long pole in the tent typically can easily run, now anyways, anywhere from 15 to 18 months, so that’s the only challenge we have, is the speed at which our suppliers can respond, but everything else is lining up nicely. 
Brian Chin: Okay. Was that 15 to 18 months, was that lead time on the tool, just to clarify?
Peter Kirlin: Yes.
Brian Chin: Okay, got it, so even if you made the decision in the next quarter, it wouldn’t be producing revenue within the fiscal ’20 horizon, it could be beyond that.
Peter Kirlin: No, not unless we can pull a miracle, but highly unlikely.
Brian Chin: Got it. Kind of related to that, the China start-up costs, it looked like a 200 basis point lesser headwind in the fiscal 4Q. What are you thinking in terms of fiscal 1Q, January, and--yes, that’d be my next question. 
John Jordan: Hi Brian, good morning. It’ll be less in first quarter. As we said, Hefei almost reached breakeven in the fourth quarter, so we expect that to continue improving, and the effect from Xiamen will be less.  Go ahead, Peter?
Peter Kirlin: To clarify that, as John said, Hefei is profitable. We expect it to make money in the quarter and we expect it will continue to make every quarter, so we’re through the knot hole and out the other side and quickly, as I said, sold out, qualification is behind us, so Hefei is making money. Xiamen on the other hand, we can accelerate qualification. The market pull might help us, is helping us, I think, a little in that respect, but no revenue and lots of people and lots of [indiscernible] creates expense, but that expense as we reach the second half of the current year and moving into next fiscal year should rapidly turn to revenue and profit. So it’s getting less, it’s getting less because of the profit we’re generating in FPD, and we’ll turn the corner late in the year, early next, when both FPD and IC are making money.
Brian Chin: Okay. Maybe my last question [indiscernible] things out a little bit here, but it sounds like what was more of a headwind now has shifted to a little bit of a tailwind in fiscal 4Q in terms of China and maybe China mainstream in particular, in terms of on the IC side of the business. I’m curious, can you maybe calibrate how your non-China high end mainstream is doing right now, and that encompasses maybe the memory market as well, and also how you--whether you think there’s any temporary, unsustained business coming from China based on, like you said, maybe buffering that might be happening in the China market right now.
Peter Kirlin: No, I think you’ve read my comments wrong. We don’t see the momentum in China diminishing. We don’t see this as a temporary blip on the radar screen. There’s been a strategic shift in the market that in our view is not moving in the opposite direction. China, they have their foot flat on the floor and the market is part of it, but also the government’s behind it and the government doesn’t really have the same profitability requirements that a normal enterprise has, so China is moving to be self sufficient. They see non-Chinese suppliers as strategic liabilities and they ain’t turning back, so this is not a temporary blip. It is a material change in how the business goes, not to diminish. As far as the rest of the business is concerned, this particular quarter, our memory business was up relative to the prior quarter. It was down slightly prior the quarter a year ago. Given our customer base in memory, which is basically foundry [indiscernible] and one very large non-volatile player who’s not really sensitive to the industry downturn, our memory business is going along quite nicely through the last year, down a little but not a material change either way. I do think that when we get somewhere around the middle of the calendar year and the overall memory market, if it improves as many people think, we should be in a position to build on our memory revenues. The way we see the business, the guidance for the quarter is seasonal softness, and to the extent it’s offset by growth in FPD, we get to the top of the range. And by the way, if we get to the top of the range, FPD should be at or above its $200 million run rate that we projected so long ago.  That’s kind of how the quarter sits, and we really can’t build on the IC revenue beyond what we have because the Asian network is sold out right now, and China has not yet been qualified so we can’t ship revenue, so there’s no more IC revenue to come out of China. Now, if the non-China business, non-China, Taiwanese business picks up in IC, we can raise our IC revenue bar. Whether the second half of the year is memory getting better or it’s the Xiamen capacity ramping in, we see a nice revenue trajectory for our IC business in the second half. It could be great or it could be good, but it’s going to likely be one or the other.
Brian Chin: Got it. Okay, thank you.
Operator: Thank you. Our next question comes from the line of Tom Diffely with Davidson. Your line is now open. Tom, if your line is muted, please unmute.
Franco Granda: Hi guys, thank you. Can you hear me?
Peter Kirlin: Yes.
Franco Granda: Hi, this is Franco in for Tom. Thank you for letting us ask a few questions. You talked about IC coming back in China. Can you speak a little more to it in terms of what is driving the return in spending, is it memory or logic, and maybe a little farfetched but perhaps who the main players behind it are?
Peter Kirlin: Yes, the demand in China really is both memory, logic, high end, mainstream. It’s very broad-based. It’s big customers like Wally [ph] or SMIC and it’s many other smaller customers with factories that are ramping and coming online, so it’s really quite broad. I think generally speaking, some real bright spots are the movement of the display driver business between nanometers and--you’ve heard a lot about how strong the AMOLED market is, how vibrant the display business is. There’s a big shift underway right now at the 28 nanometer nodes that’s pushed the display driver business down there. 5G is an unbelievable driver in the China business right now, both in country and then the movement of the China mobile products down there, what is it, the gate and road initiative, the China manufacturers are really following the money around the world as China expands its global footprint. Automotive applications are a real driver in our business, consumer products. It’s really hard to point to any one specific market, but generally IoT, mobile 5G and display all are hitting on eight cylinders in China right now, and Taiwan, because--and Korea is feeding into that too because it’s the non-U.S. supply chain.
Franco Granda: All right, thank you for the color. As a follow-up to Brian’s question on capex earlier, when you remove the carryover from this year, you’ve got roughly $70 million. Is this the ballpark that you’re thinking about moving forward as the maintenance level, or what are your thoughts on that? 
Peter Kirlin: Yes, I think our view of maintenance capex is about 10% of revenue, so that for us, we see as a good target going forward, maybe a little more some years, maybe a little less others. I’ll just remind you, a leading edge lithography tool is $40 million, so you don’t need to buy many of those to be at 10%.
Franco Granda: Yes, okay. Thank you for that. Right now you have four customers with long term agreements in China. How many of these customers do you have the capacity to serve over time?
Peter Kirlin: Well, we’re taking care of all of them. I think to quantify it, what we said was it represents about $300 million of business over a three-year period, so that’s $100 million a year on average. Right now, that’s between 15% and 20% of our revenue, which is on one hand a really nice, solid base load, but it’s not something that overwhelms our global footprint on the other. One of the reasons that Hefei is such a success story for us is we ramped it into an over-sold manufacturing network and we have been working to put our IC factory in Xiamen into the same scenario. You want to ramp into an over-sold condition so that as the business comes or as the capability comes, you can sell it, so we feel right now--you could say on one hand, it’s lucky, but on the other hand, the factory, we’ve been working on it for almost three years, we’re exactly the same spot on Xiamen that we were two quarters ago in Hefei - we can sell everything we can make.
Franco Granda: Okay, thank you. Lastly, thank you for the color regarding the headwinds in China. You said that the effect has been concentrated and relatively small. Can you quantify what you’re baking into your guidance for the first quarter?
Peter Kirlin: No, the headwinds in China were in Q3. We mentioned that the business was impacted. What happened over the summer as some very prominent companies got put on restricted trade lists, there was disruption in the product development road maps, but generally the Chinese electronics manufacturers came to the conclusion that by buying from Chinese companies or Taiwanese companies, and perhaps if they have Korean companies, they can build their products. They don’t quite work as well as they thought they might, but they work well enough. When they came to that realization, we saw a real acceleration in our Asian IC business, an acceleration that for me was really remarkable. That happened in the fourth quarter, so Q3 was a slight headwind, Q4 was a significant tailwind. Regarding Q1, there is this--the whole world in the electronics business works on a product development cycle targeted at the Christmas holiday season. Some people don’t celebrate it, but generally there’s a huge product cycle that goes on every year to have the shelves full for the holiday shopping season. For our business, what that means is this quarter, which includes Christmas, is sort of a lull. We work on a cardiogram where Q1 is typically the lowest, Q2 and Q3 are the highest, and Q4 typically slides down between Q1 and Q3. That’s how our business works every year in a flat market. If there is industry upturn, it sits on top of that cardiogram; if there’s industry downturn, it sits on top of that cardiogram, so for us Q1 is normally the seasonally slowest quarter. The guidance at the bottom of the range reflects that. That’s what we’d look like in a flat market with seasonality put on top - 5% down. But what John said and what I reiterated is we could be flat, which is 5% up, depending on how strong the growth in FPD is in the quarter to offset the normal seasonality across the entirety of the business. That’s how the guidance comes about.
Franco Granda: All right, thank you so much.
Operator: Thank you. Ladies and gentlemen, there are no further questions at this time. I would now like to turn the call over to Peter Kirlin for closing remarks.
Peter Kirlin: Thank you for joining us this morning. As we move into a new year, our business is performing and we are well positioned to continue growing into 2020 and beyond. We’re the leader in the merchant photomask industry with tremendous market position and leading technology. Our operations are aligned with several secular growth trends such as the adoption of AMOLED for mobile displays, and we have a proven investment strategy that is driving profitable growth. Finally before closing, I would like to take this opportunity to once again thank all our employees for their outstanding contributions throughout this year and to wish everyone a safe and happy holiday season.
Operator: Ladies and gentlemen, that concludes the conference call for today. We thank you for your participation and ask that you please disconnect your lines.